Operator: Ladies and gentlemen, good morning. My name is Abby and I'll be your conference operator today. At this time, I would like to welcome everyone to the Compass Minerals Fourth Quarter and Fiscal 2023 Earnings Conference Call. Today's conference is being recorded and all lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. And I will now turn the conference over to Brent Collins, Vice President of Investor Relations. Mr. Collins, you may begin.
Brent Collins: Thank you, operator. Good morning and welcome to the Compass Minerals Fourth Quarter and Fiscal 2023 Earnings Conference Call. Today, we will discuss our recent results as well as our outlook for 2024. We'll begin with prepared remarks from our President and CEO, Kevin Crutchfield, and our CFO, Lorin Crenshaw. Joining in for the question-and-answer portion of the call will be Jamie Standen, our Chief Commercial Officer, and Chris Yandell our Head of Lithium. George Schuller, our Chief Operating Officer is away today. Before we get started, I'll remind everyone that the remarks we make today reflect financial and operational outlooks as of today's date, November 17, 2023. These outlooks entail assumptions and expectations that involve risks and uncertainties that could cause the company's actual results to differ materially. A discussion of these risks can be found in our SEC filings located online at investors.compassminerals.com. Our remarks today also include certain non-GAAP financial measures. You can find reconciliations of these items in our earnings release or in our presentation, both of which are also available online. The results in our earnings release issued last night and presented during this call reflect only the continuing operations of the business, other than amounts pertaining to the condensed consolidated statements of cash flows or unless noted otherwise. I'll now turn the call over to Kevin.
Kevin Crutchfield: Thank you, Brent. Good morning everyone and thank you for joining us on our call today. Over the course of fiscal 2023, we advanced the ball on a number of important strategic fronts. Unfortunately, the positive strides we've made across several areas this year have been wholly overshadowed by sustained uncertainty surrounding our lithium project in Utah, which has weighed heavily on our share price. I'll come back to our strategic achievements in just a moment, but I first want wanted to provide some commentary on our operations in Utah and on our lithium projects, specifically. As a reminder, we've been operating in the State of Utah for more than half a century, currently providing approximately 370 local jobs at our Ogden facility. We've been an engaged corporate citizen in the community for decades, our planned lithium project with build upon the successful sulfate of potash, sodium chloride and magnesium chloride businesses that currently operate on the lake and would not require any additional brine draw from the Great Salt Lake. The current process draws mineral-rich lake water or brine from the Great Salt Lake into a series of solar evaporation ponds, which the brine moves through over a two-to-three-year evaporation cycle. As the water content of the brine evaporates and the mineral concentration increases some of those minerals naturally precipitate out of the brine and are deposited on the pond floors. These deposits provide the minerals necessary for processing into SOP, sodium chloride, and magnesium chloride. Those three products make up our core Ogden business today. Our lithium development would simply entail extracting a fourth mineral salt out of the brine that we're already processing. Our project would add over 100 incremental local high-paying jobs and drive substantial additional royalty and tax receipts to the local economy. In our view that's a win-win situation, and we continue to patiently educate all relevant parties and decision-makers on the positive attributes of this project. Utah House Bill 513 was enacted to establish a regulatory framework for how lithium would be developed as well as introduce some updated rules on management of the Great Salt Lake. We’re acutely aware of the recent concerns and sensitivities related to the Great Salt Lake, maintaining the health and sustainability of the Lake is a shared goal for all stakeholders in the community. We are no different, and in fact, we've worked hard to be part of the solutions to maintaining and improving the health of the Lake for the long term. Several weeks ago we announced our intention to suspend indefinitely any further investment in our lithium project in Utah, until we achieve regulatory clarity with the State. We did not make this decision lightly. A critical linchpin to making investments on the order of magnitude we're considering here and have now paused is regulatory certainty. Without such certainty, it's essentially impossible to have confidence in the projected returns on invested capital over the next 30 years. Therefore, to move forward prudently, we must have confidence that the regulatory environment will include a set of rules that are reasonable now and will be stable and predictable over the coming decades. The March passage of House Bill 513 and particularly the subsequent rulemaking process have introduced uncertainty around the regulatory environment we will be operating in, as well as the timing of how development could proceed. Since the inception of House Bill 513, Compass Minerals has actively engaged with the State of Utah, in a collaborative attempt to ensure the provisions of the legislation are implemented in a way that will not slow or halt the progress the Company has made to date regarding its pursuit of developing a sustainable lithium salt resource to service the burgeoning North American advanced battery market. Despite the active and ongoing best efforts by all parties, we concluded that it's in the best interest of our shareholders to suspend further investment in our lithium project beyond certain already committed items associated with the early stages of construction of the commercial scale DLE demonstration unit that we've talked about in the past. I want to share some additional thoughts about how we're thinking about the project. First, to be perfectly clear, we will not move forward with the project at any cost. We'll continue to refine our engineering estimates on Phase 1 and we'll incorporate the proposed financial terms from the state when we receive them. Then we'll have a better view of the economics of the project. We'll only proceed if we're convinced that the long-term returns justify the investments. Second, if we do advance lithium, we'll do so in a manner that is financially prudent. As projected capital for the lithium program has increased, questions about how we'll fund the program have taken on greater importance. Clearly, bringing a partner in at the asset level will help to answer at least part of that question by reducing our share of the capital cost. We still have some work to do on this, but the one thing I want to stress today is that we're firmly committed to not using common equity to fund our share of any future lithium development. We believe there are numerous other viable sources of funds at considerably lower cost of capital and do not dilute the ownership of existing shareholders. Third, whereas previously we were on a path towards commencing operations in the fiscal 2025 timeframe, we have to acknowledge that our timeline today is different than when we started this project. I'm hopeful that we will be able to chart a path forward with the State of Utah, that will allow this resource to be responsibly developed for the great benefit of all stakeholders, including the State in a timely manner. But we have to believe that we know the rules of the game, and are standing on solid ground before we can credibly talk about timing again and we aren't there yet. I'll comment now on the progress we made on our 2023 strategic objectives. Lorin will then review our financial performance for the year and we'll discuss our outlook for 2024. We talked about it a lot this year but restoration of the profitability of the Salt business to historic levels was an important goal for the company in fiscal '23. Year-over-year, full-year adjusted EBITDA per ton for salt increased by approximately 40% to $20.38 compared to $14.59 last fiscal year. Salt adjusted EBITDA margin percentage also increased over the same period up to nearly 23% from 18% a year ago. This improvement was driven by better pricing, as we saw increases of 12% and 6% in price for highway deicing and C&I respectively year-over-year. We did a great job getting back to the basics and focusing on winning markets that we can effectively and profitably service. I'm also happy to note that despite the recent bidding season occurring on the heels of a winter that within the North American markets that we served had only 80% of the average number of snow days, our base plan for 2024 shows us continuing to improve salt profitability on both an EBITDA per ton and EBITDA margin basis. Fiscal '23 was also an exciting year for our emerging Fire Retardant business. After a rigorous multi-year process, two core Fortress products were added to the US Forest Service qualified product list in December of 2022. This opens the door to allow governmental agencies to purchase Fortress' fire retardant products, which was the first new products to enter the market in nearly two decades. Fortress was awarded its first contract in May and we consolidated our ownership of the company shortly thereafter. In June '23, we achieved another milestone when we dropped our first commercial product. The feedback that we've received on the efficacy of the products and the operational performance of the team has been excellent. We're currently in the process of finalizing our contract with US Forest Service for 2024. We're off to a good start with Fortress and we're excited about the high-margin counterseasonal growth potential that this business can provide for the Company. We also improved the balance sheet and financial standing of the Company during the fiscal year, which was another of our strategic goals. Early in the fiscal year in October, we successfully closed on a strategic equity partnership with Koch Minerals & Trading to help fund Phase 1 of our lithium project and to pay down debt. We also improved our debt maturity profile in May with a successful refinancing that pushed our nearest maturity out to 2027. As a result of our focused execution on this goal, year-over-year we saw an improvement in our available liquidity, the decline in our net debt outstanding and a lengthening of our debt maturities. The last strategic goal that I'll touch on today relates to safety and our efforts to build a culture of zero harm. I say this almost every earnings call due to its importance. We make safety a top priority because it's the right thing to do for our people and it's the right thing to do for our business. Safety is often a leading indicator of operational performance and if you can't do the basics of keeping yourself and your colleagues safe, how can you possibly operate reliably and efficiently? Our employees have clearly embraced the culture we're building here around zero harm and it shows in our results. Specifically, our total recordable injury rate dropped approximately 8% to 1.17 and our lost-time injury rate declined to 0.93 from a 1.02 or 9% in the comparable year-ago period. Those are outstanding numbers, particularly in the complex operating environments that we have here at Compass Minerals. I want to extend my thanks to all the employees across the company for their commitment to safety and contribution to these outstanding results. As I reflect on the year, it's disappointing to know that the solid steps forward we made across our business were drowned out by noise and uncertainty that arose in Utah around our planned lithium project. We're determined to resolve those questions as soon as possible and we remain engaged with Utah leaders on that front. Compass Minerals has unique high-quality assets that have tremendous value. I'm confident that the intrinsic value of the company will be recognized with continued strong execution. So with that, I'll now turn the call over to Lorin.
Lorin Crenshaw: Thanks, Kevin. I'll begin my remarks by discussing our fiscal '23 performance before providing perspective around our outlook for fiscal '24. Starting at the consolidated level, fourth quarter results primarily reflect weaker Plant Nutrition sales offset by improved profitability in the Salt business year-over-year. Consolidated revenue declined 6% year-over-year to $233.6 million. Consolidated operating earnings declined to $3.9 million, while adjusted EBITDA was slightly lower year-over-year at $33 million. Net loss for the quarter narrowed to $2.5 million from a net loss of $5.5 million year-over-year. For the full year, a below-average highway deicing season and the impact of adverse weather conditions in California on the Plant Nutrition business negatively impacted the company's revenue. However, the Salt business demonstrated improved profitability that allowed for gains in consolidated operating earnings, and adjusted EBITDA year-over-year. Consolidated revenue was 3% lower at just over $1.2 billion, consolidated operating earnings was $79.1 million, up $36.2 million year-over-year and adjusted EBITDA of $200.8 million rose $12.3 million year-over-year. Net income from continuing operations was $15.5 million versus a net loss of $37.3 million in the prior year. Our full-year effective income tax rate came in at 53% which is influenced by the fact that throughout the year, we booked valuation allowances on US deferred tax assets. Excluding the impact of valuation allowances, our full-year effective income tax rate was roughly 22%, which is below the range we guided to last quarter. The rate came in below our expectations, primarily due to lower estimated income associated with Fortress earnings slipping into the first quarter and the refinement of certain foreign tax estimates. Moving to the Salt business, on a quarterly basis, segment revenue was essentially flat year-over-year at $186.7 million, resulting from a 9% increase in price, offset by a 9% decrease in total sales volumes, which declined for both the highway deicing and C&I salt businesses. Highway deicing price rose 11% year-over-year, while C&I price increased 8% reflecting continued pricing power across both product lines. Quarterly distribution costs per ton decreased 8% year-over-year due to favorable freight rates within the C&I business while all-in product costs per ton increased 4% year-over-year driven by the impact of unplanned downtime. Operating earnings increased 91% to $28.8 million while adjusted EBITDA improved 29% to $44.4 million year-over-year. For the full year, Salt segment revenue was flat year-over-year at approximately $1 billion, a below average highway deicing season in our served markets in North America was the leading cause of a 10% decrease in total sales volumes with highway deicing volumes down 11% and C&I volumes down 6%. Higher highway deicing and C&I salt pricing led to an increase in overall Salt segment pricing of 11% year-over-year. The decline in volumes and increase in price were consistent with the value-over-volume strategy that we pursued in 2023 and was the driver of this business' improved profitability. On a per-ton basis, both distribution and all-in product costs saw modest increases year-over-year, up 2% and 6% respectively. The Salt segment generated $170.7 million in operating earnings and adjusted EBITDA of $230.7 million, up 47% and 26% respectively year-over-year. Importantly, the segment saw adjusted EBITDA margins improve by over 400 basis points year-over-year and adjusted EBITDA per ton recovered to over $20 per ton which, as Kevin mentioned, was an important strategic objective for us this year. Turning to our Plant Nutrition segment. Fourth quarter revenue totaled $35.3 million down 39% year-over-year, driven by a combination of a 26% decrease in price and an 18% decline in sales volume. The decrease in price reflected the deterioration of global potassium fertilizer prices throughout the year. This influenced purchaser behavior as throughout the year, buyers didn't want to hold inventory and generally waited to buy product until needed. Distribution costs per ton increased by 6% year-over-year due to the timing of market demand and associated rail car storage fees while all-in product costs per ton declined 2%. The segment had an operating loss of $1.6 million for the quarter, down $14.2 million year-over-year. Adjusted EBITDA declined $15.1 million to $6.7 million. As we've discussed throughout the year, highly unusual weather in California was the primary driver of the decrease in full-year sales volumes year-over-year. For the full year, the segment generated $172.1 million in revenue, down 23% year-over-year, primarily due to a 23% decrease in sales volumes. Distribution costs per ton rose 6% year-over-year due to the impact of lower sales volumes on our fixed distribution costs, while all-in product costs per ton were up 15%. Operating earnings for the full year totaled $11.2 million and adjusted EBITDA totaled $45.5 million. I would now like to provide a bit of color on Fortress' results for the year. Fortress had its first sales in 2023. So, we recognized modest positive contributions from the business to revenue, operating earnings, and adjusted EBITDA this period of $10.4 million, $3.2 million, and $4.6 million respectively. Our initial contract with the US Forest Service was largely structured as take or pay and covered the calendar year ending in December '23. We expect it to recognize the vast majority of the value of the contract during our fiscal year ended in September based on historic patterns of wildfire activity. However, wildfire activity in the final quarter of our fiscal year, which included heavy rain in the Western US from Tropical Storm Hilary was unusually mild. Specifically calendar year-to-date through September, acres burnt from wildfires in the US were approximately 36% of the 10-year average, according to the National Interagency Fire Center. As a result, while the ultimate value of the initial calendar '23 contract is unchanged, the bulk of the revenue recognition related to the take or pay portion of the contract will occur in the current quarter, three months later than our original expectation. Accordingly, approximately $12 million and adjusted EBITDA that we had expected to impact the fourth quarter of '23 will slide into the current quarter. Overall, we were encouraged by the operating performance we saw at Fortress in its initial year of commercial operations. Turning to our balance sheet, at quarter-end, we had liquidity of $317 million, comprised of roughly $39 million of cash and revolver capacity of around $278 million. Net debt to adjusted EBITDA stood at 3.7 times at the end of the quarter. Moving onto our outlook for fiscal '24. The latest North America highway deicing bidding season has concluded and we expect the average comp frac price for the upcoming North America winter season to be up by roughly 3% versus the prior year's bid season results and total committed bid volumes to decline by approximately 5% year-over-year. Despite the 5% decrease in commitments, we are expecting an increase in sales volumes year-over-year based on historical sales-to-commitment ratios and assuming we experience average winter weather activity. Snow days during last year's winter within our North America served markets were only approximately 80% of the long-run average. As a result, simply having an average winter should drive more than enough volume year-over-year to offset lower commitment levels. For Salt, we expect adjusted EBITDA in the range of $230 million to $270 million. This is again based on the assumption that we have an average winter. During our first-quarter earnings call in February of 2024, we expect to update investors on where the Salt segment is tracking against the range of outcomes shown on Slide 14 of our earnings presentation. Then during our second-quarter earnings call in May, we will revisit our Salt guidance following the completion of the winter season. The outlook for Plant Nutrition EBITDA is in the range of $20 million to $40 million, despite meaningfully higher sales volumes. This level of performance margin-wise is well below our targeted potential for this business at this stage in the industry pricing cycle. And I'll now take a moment to discuss why that's the case. From a topline perspective, sales are projected to be higher year-over-year at roughly 300,000 tons, primarily driven by a restoration of more normal West Coast demand conditions, assuming the extraordinary weather conditions that occurred last year don't repeat themselves and higher production out of Ogden. Two factors, the continuation of elevated cash costs and lower pricing year-over-year are offsetting the sharp sales increase. From a pricing perspective, we are assuming an average SOP price next year of around $660 per ton, which is roughly 4%, around $30 below levels we experienced in the fourth quarter of '23. From a cost perspective, although cash unit costs are projected to decline year-over-year, they are still roughly $100 per ton higher than our targeted performance levels. The reason for this is that, while we have a production strategy supportive of restoring sales volumes back toward historical levels and you see that in our sales guidance, the naturally occurring pond tons, which have the lowest unit costs remain below historical levels. Therefore, just as we did in 2023, this year, we intend to continue supplementing our production process with potassium chloride, a higher cost input to close the gap and cheaper pond tons available. We expect this to enable us to achieve the yields and volumes required to deliver higher sales tons but at a higher unit cost than the historical average. Over time, assuming current demand levels persist, using potassium chloride is expected to allow us to maximize evaporation seasons and enable the replenishment of our stockpile, resulting in lower-cost pond-based tons rising as a percentage of our production mix over time and potassium chloride use declining over time, resulting in lower unit cost as that happens. Now that we have a production strategy that we expect to allow us to deliver sales tons in line with historical levels, a key operational initiative in 2024 will be to identify additional cost reduction strategies to lower our unit costs. Such actions are not reflected in our guidance. However, we are committed to identifying a path to restoring the unit cost of this business closer to historical levels by lowering the cost in the short run and producing more pond-based tons longer term. Turning to our corporate guidance, we expect this segment to come in at a range of between minus $55 million and minus $65 million. As a reminder, corporate is comprised of three components, Fortress, lithium, and other. Other includes costs unrelated to the Salt and Plant Nutrition segments and the impact of our DeepStore Document and Records Management business. As it relates to Fortress, we are currently working closely with the US Forest Service to establish a contract for calendar year 2024. However, an agreement is not expected to be finalized until late December 2023 or early January 2024. As a result our initial guidance only includes the approximately $12 million in adjusted EBITDA related to the 2023 contract that we will recognize in the current quarter. However, our current expectation is that we will achieve at least a similar level of profit for our 2024 contracts. When our negotiations have concluded and we have a finalized contract, we'll update our guidance accordingly. Lithium-related expenses are projected to be in the range of $5 million and $10 million for fiscal '24. These costs will be heavily influenced by whether adequate regulatory clarity in Utah is achieved to resume lithium development. Total CapEx is expected to be in a range of $125 million to $140 million and is comprised of three parts. Sustaining CapEx related to Salt and Plant Nutrition of approximately $90 million to $100 million, CapEx of between $25 million and $30 million related to the orderly suspension of the lithium project and Fortress related growth CapEx of approximately $10 million. In closing, our company remains well positioned financially and operationally with strong competitive positions in the production of essential minerals with few viable economic substitutes. As Kevin alluded to in his remarks, we made several positive steps across the business in fiscal '23 that set us up well for success in 2024 as we continue focusing on maximizing the performance of our high-quality Salt, Plant Nutrition and emerging Fire Retardant businesses. With that said, I will turn it back to the operator to open the lines for Q&A. Operator?
Operator: Thank you. [Operator Instructions] And we'll take our first question from Joel Jackson with BMO Capital Markets. Your line is open.
Joel Jackson: Good morning, everyone. I have a few questions. I'll go one by one. On the '24 guidance in Fortress, so thank you for the color that you'd expect this year's contribution from Fortress to be at least similar to $12 million. What -- so I assume what's going to happen in '24 is will be a bit of double counting, we have the '23 earnings that comes at '24 and the '24, just trying to figure what normalized '24 earnings would be like, it sounds like, it would be a little bit higher than $12 million contribution and how would you expect that business to ramp into '25 -- fiscal '25. Just how this is going to ramp? Thanks.
Lorin Crenshaw: So I'll start and then ask, Jamie. So, we did book about $4 million, $5 million of Fortress profit in 2023 and $12 million will roll into next year. And so you add those together, you get, kind of $15 million and change and it all depends on the level of profitability that we see in this upcoming contract. Jamie, you want to elaborate?
Jamie Standen: Yeah, I think. Yes. So you think about normalized '23 was about $15 million or so, $15 million, $16 million. Lorin's prepared remarks said we expect in '24 to achieve something at least at that level. So the negotiations are ongoing. We are figuring out which basis, what it looks like. It's likely that it won't be a take-or-pay scenario next year. So, that's about all the incremental color we can give you right now.
Lorin Crenshaw: And Joel rather than speculate, we just felt it would be better to let the dust settle and then update you in February.
Joel Jackson: Right, okay. So really this guidance number is, it's a bear case guidance for Fortress, it's going to be better, because from a normalized perspective…
Lorin Crenshaw: Exactly.
Joel Jackson: Right. Okay. Okay on costs, excuse me, on the Salt business, looking at costs, I could be wrong first blush, it looks like maybe you're -- in your guidance projecting, maybe about a dollar per ton increase in Salt cost, is that right, if I'm not, let me know and tell me what's driving Salt costs this year?
Lorin Crenshaw: From a cash cost perspective, Salt costs are about flattish around, I don't know roughly sort of $40 a ton and EBITDA per ton is actually up about $1 and so, I'm not sure what you're seeing but Salt is up from an EBITDA per ton perspective and roughly flat from a cash ton perspective year-over-year.
Joel Jackson: Maybe then in that flat environment before I pass the baton on, maybe talk about what costs are up, what costs are down, thanks, to make it flat?
Lorin Crenshaw: So from a fuel perspective, which is important for that business and the first half of this year is where we'll consume most of the fuel. We're assuming Brent kind of in the mid '80s. And if you look year-over-year, that's kind of roughly flattish from that point of view. And then, this relates to C&I from a natural gas perspective, we are going to benefit from what we hope will be the absence of natural gas spike that we saw last year at a high level. Jamie anything else you want to share?
Jamie Standen: I would say on the operating side on the cash cost itself, you know, we saw some unplanned downtime in 2023, items like that not expected to repeat. So, we've got some inflationary pressure on the input side still, but that's being offset by improved production levels, as we go into 2024 on Salt.
Joel Jackson: Thank you.
Operator: And we'll take our next question from David Begleiter with Deutsche Bank. Your line is open.
David Begleiter: Thank you. Good morning. Kevin, on lithium -- on lithium, is there a timeframe where you would say these negotiations are just taking too long and we're going to move on and does not pursue lithium, is it six months, is it a year, is it longer, that would be helpful. Thank you.
Kevin Crutchfield: Yeah, I mean look, that's a good question, David, it's kind of hard to pin it down. But what I'll tell you, I mean there's kind of two work streams in terms of kind of how we're thinking about this. I think as everybody knows, they released the draft rules that were promulgated as part of House Bill 513. Those need to get sorted. So, they're out for public comment. I think we've made our comments on those and we'll work with the State to come up with a set of draft rules that govern how lithium could be extracted on the lake, and we had some concerns about the way they were released and we'll be at the table trying to bid that outcome in a way that works for us as well as folks in Utah. And then secondarily there's legislative session coming up in -- after the -- after the first of the year that we will obviously be involved in. So I think all that will kind of settle in but maybe the April timeframe. And I think that will give us the kind of clarity, we need to make a decision on whether this thing still got legs or put it on the shelf for another time. So, I would kind of direct you to that April-May timeframe next year.
David Begleiter: Okay. Very helpful. And just on Plant Nutrition, what do you think is normalized earnings in this segment? I think the last four years, it averaged maybe $55 million to $60 million of EBITDA. Is that a good number or could it even be higher in terms of normalized?
Lorin Crenshaw: Yeah, we're $100 below where we expect this business to be on a cash-cost basis. If you look back over the past five years, you multiply that times our tons when you get $30 million. These businesses ought to be in that in the range you just referred to. And that's going to be a focus of our efforts in the coming years. From a long-term perspective, as we harvest less and less the ponds, just deposit and concentrate, we expect that we will get better yields over that two or three-year deposition process, but we're not going to just wait for that. We're also looking at the cost base at Ogden in terms of things we can do in the near term to improve the cost base as we wait for the ponds to regenerate.
David Begleiter: Very good. Thank you.
Operator: We will take our next question from Greg Lewis with BTIG. Your line is open.
Greg Lewis: Yeah, thank you and good morning and thanks for taking my questions. My first one was, I did want to go back on costs. So, as we think about freight, it seems like that could be pulling on that a little bit. Anyway to kind of gauge how much of your freight costs are fixed or is it, they are when we could see like those agreements, like I guess re-contract or reset?
Kevin Crutchfield: Hey, Greg. We -- you were garbled up there. Could you please repeat your question for us?
Greg Lewis: It was around freight costs and really [Technical Difficulty] if we were to see freight costs generally across North America moved lower, like how should we think about the company benefiting from that impact, i.e., as you look at your freight exposure, how much of its kind of a spot contract [Technical Difficulty] is my question, the first one.
Jamie Standen: Sure. Greg, this is Jamie. So, we've assumed we talked about it in different buckets. On the vessel and barge side for 2024, we're going to see typical inflationary pressure, a lot of those are fixed. When we look at truck for 2024, we think the truck market is actually bottoming out now, maybe first quarter, and would be expected to rise. Given the some of the freight supply rationalization, Conway, Yellow bankruptcies, so we think the supply picture of freight is shrinking actually. And with the post-pandemic destocking behind us, we think there's demand increase in retail over the next year. So, we've baked into our plan, and for 2024 increased truck rates really in the back half of the year. Now that is significant. It is a significant increase. Think of it as 15% or so. But if that does not occur and the bottom stays in longer and freight rates don't rise, we would stand to benefit from that versus our current operating plan.
Greg Lewis: Okay, perfect. Super helpful. And then, I did want to realizing that we need to kind of move forward in the project, but when we think about a strategic partner, you mentioned on the lithium side, I mean really with the project and largely funded at least Phase 1, like when we think about a strategic partner, is that just really an offtake partner, is that kind of a fair way to think about it or any kind of rough how you're thinking about like what you're looking for in terms of that partner? And really just given what's the ongoing, I don't know landscape in Utah, is that something where we probably won't see that partner until we kind of get more clarity and can move forward, and though we have a better line of sight on when we could see I guess the lithium project move forward?
Kevin Crutchfield: Yeah. So, I think in terms of conditions precedent to having a partner, it would have to be regulatory legislative clarity in Utah, where you've got a horizon that is suitable for long -- making long-term investments. So clearly, as I mentioned earlier, when David asked his question, there is work there to be done. And then secondarily, we still have -- we still want to prove out the DustGard unit to demonstrate to the world that, that is a scalable technology at commercial level. So anything that we would do with a partner would be conditioned upon those two criteria having been met. And then in terms of the type of the partner where we'd be looking for, I mean, clearly a balance sheet, reduce our capital exposure at the project level and then ideally, it would be nice to have a partner that's got some sort of prowess in that domain space, lithium or the EV world itself. So that gives you kind of some sense of how we're thinking about it.
Greg Lewis: Okay, super helpful. Thank you, very much.
Kevin Crutchfield: Yep, thank you.
Operator: [Operator Instructions] And we will take our next question from Vincent Anderson with Stifel. Your line is open.
Vincent Anderson: Yeah, thanks, good morning. Going back to the drivers of Salt margin expectations, I mean you hit on the variable components, super helpful, but I was hoping you could maybe frame the season-on-season changes in fixed cost leverage. And then any incremental net back positive -- positives or negatives based on the geographical mix of your commitments this year versus last year.
Kevin Crutchfield: Well, to the extent that our volumes increase as a result of a normalized winter, just the sheer leverage from a 3%, 4% increase in the tonnage on the same cost base will improve the tons and that's what you're seeing. As it relates to fuel, as I said, to the extent that, that in fact is sort of flattish year-over-year and we have taken some efforts that we referred to in the last call, in terms of cost reductions, we referred to efforts at the sites to reduce cost following our efforts at the corporate center to reduce cost. Those are the kind of things that if we can -- if they hang in there should allow us to see a $1 or $2 increase in profit per ton and that's what's in the midpoint of our guidance.
Vincent Anderson: Okay. Okay, no, that's helpful. And then just turning over to Fortress, just a two-parter here. So first, does the CapEx budget reflect any on-base investments and then kind of related to that, you said you expect this year likely won't have take-or-pay contracts. But as I understand it, those are in place to help support initial commercialization of a new product. So should I interpret that as, you're expecting a high enough level of organic base wins that you will no longer qualify for that?
Jamie Standen: Yeah, it's not a matter of qualification. Vincent, this is Jamie. It's a matter of how the agreement unfolds. The take or pay element of last year's contract was related to gallons. There are a number of elements in the contract that give us security around daily rates. So, there are a lot of moving parts and that's why we've kind of said, hey, we're going to wait and let this kind of give you some transparency after we finalized the contract. So, there are quite a few things moving. As it relates to investment, one of the neat things about our delivery mechanisms is that they're fundamentally mobile. So, even though we get assigned a base on a permanent basis, so to speak, we have mobility. So, we are investing for the future, that's the $10 million in capital and we have flexibility to put that -- to manufacture that, get it ready and then deploy it to the bases that were awarded. So, it's not -- it's less capital intensive than a typical situation. We're not burying pipes and pouring concrete and investing in infrastructure at bases, we have more of a mobile structure.
Lorin Crenshaw: And I would just add, we do provide -- when we do provide guidance on this business we will approach it similar to what you see in our earnings deck today with regard to Salt, to the extent it's not take or pay, this will be a business that is subject to the wildfire season. And so you should expect us to come out with a range that tells you what we think are normal wildfire season would look like and the bell curve for that on both sides. And so I just want to underscore that you will have that dimension.
Vincent Anderson: No, that's helpful. I appreciate that. If I could sneak one more in for Kevin, actually, if I'm not mistaken, 2024 will put you on the back line of your Goderich overhaul. I was just hoping to get an update on priorities for this year and maybe any larger projects planned for the March turnaround?
Kevin Crutchfield: Yeah, back, so like the -- maybe the 11th hole of the back line, just to be -- just to be specific, Vincent. But yeah, fair. We continue to drive our main entryways. George is not here. I don't have an exact percentage, but we're probably 65%, 67% of the way driven there. So, as we've shared before connecting up those new entries with the shaft bottom and the new sections in the west of the mine. We'll then promote our ability then to kind of close the old section of the mine and stop spending money, you know, holding roof up and been lighting and lighting and all that sort of thing. So that's kind of first phase. And then we continue to develop the panels out in the West and some new panel infrastructure up into the kind of the north -- north part of the mine. So, you will, see the results can gradually start to filter through on the cost side over the next, you know, two to three years as we -- as we've talked about before, there's not going to be some magic moment where all of a sudden cost precipitously fall, it will be gradual. But you'll start to see that as soon as we connect those road roadways up. So, I think we still got probably close to a year or so, before we do get those connected up, but that's when you'll start to see things begin to change at Goderich, Vincent.
Vincent Anderson: Sure. No, very helpful, thanks again, everyone.
Operator: And we will take our next question from David Silver with CL King. Your line is open.
David Silver: Yeah, hi, good morning. Thank you. Couple of questions I think first, I'd like to ask about the inventory levels at September 30. I think it's one of the higher totals in recent years and it is up pretty substantially year-over-year. So just wondering if you could kind of talk about maybe the cost versus volume elements in there, is this kind of a carryover from a sub -- subpar below average winter season last year. Just how to think about that inventory level at September 30 or maybe if you could update it for November 15 or something. I'll stop there. Thank you.
Lorin Crenshaw: Hi David, it's Lorin, and when you look at 9/30 on a year-over-year basis, you're right, it is higher. And it's roughly half related to Salt and half Plant Nutrition. In terms of Plant Nutrition, Ogden performed very well production-wise throughout last year. In the face of a sales environment that was severely diminished and so we restored our inventory levels at Plant Nutrition to levels that are frankly more normal and if there's any silver lining that was it. From a Salt perspective, we ran Goderich for a normal winter, and only an 80% winter actually happened. And so those are two reasons for the inventory to be higher. With that said, if you look back over the last four or five years from a units perspective, our units of inventories are only up about 5% versus that average, 5% to 10%, it's inflation for that same unit that has risen. And one of the things that Kevin talked about is this notion that our customers understand that the cost of holding this inventory has gotten more expensive and I don't know, Kevin, if you want to elaborate but we've restored the profitability of the business EBITDA per ton but working capital is more expensive to carry.
David Silver: Okay, thank you for that. I'd also just ask you for an update, I guess, on your business realignment or your cost reduction program. You had some targets in terms of lowering the fixed cost base as of the kick-off, I guess, of fiscal year '24. So, if you could just update us on that, that would be great. Thank you.
Lorin Crenshaw: Yeah, when we did -- we did an 8-K where we laid out about $15 million to $20 million of cost that we were going after last year, and those are split roughly 50% SG&A, 50% cost of goods sold maybe half Salt, quarter Plant Nutrition, et cetera. And so, we've captured those costs and they are reflected in this, the guidance that you see. Of course there are offsets like merit that would eat into some of that along with other factors, but we feel good about what we've accomplished and it's reflected in our guidance.
David Silver: Okay, great. And then maybe just a last one, I would like to go back to Fortress. And I understand there's quite a few moving parts on how your first fire season when and timing issues and whatnot. But I believe you had some longer-term, I guess, market share targets for -- how your product might be -- might be positioned once it's fully accepted in the market. And any thoughts about where your market share shook out, this first year and whether the expectation is that -- that share would be maintained or increased over the next year. Thank you.
Jamie Standen: Yeah, sure. David, this is Jamie. We were -- we were right around 3% to 5% share as it relates to the US Forest Service total contract in 2023. We expect that to grow that year-on-year, we absolutely expect to increase our base count and expected volumes as we negotiate this contract here this month, hopefully to be resolved later this month or early January and then we'll build from there. Our expectation is to continue to reinvest in the business, add bases, add share, and grow over the next several years. So, nothing on that front has changed that was part of the investment thesis, when we made the acquisition and we feel good about where we -- how we're positioned and we can deliver on that plan.
David Silver: That's great, thank you very much.
Operator: We'll take our next question from Chris Kapsch with Loop Capital Markets. Your line is open.
Chris Kapsch: Yeah, good morning. I had one on the Salt business, specifically around the 3% pricing outcome from the fiscal '24 contract bidding season and maybe just supposed you can still look back at '23. So you specifically used words like referring to your value over volume strategy in '23, but I don't think I have heard those words reflecting '24. So, I'm curious about the outcome this year was, is it partly a function of that strategy still or is it more simply a function of other considerations like, whether it's the inflation, for example, you flagged the interest rates and higher carrying cost of inventories or other residual inflationary costs or some other dynamics like the winter mine strike. Just wondering if you could provide additional color on that -- on the value over volume strategy if that's persisting. Thanks.
Kevin Crutchfield: Let me hit that at a high level, Chris and then Jamie probably want to add some color, but we approach the bid season again with the same mindset, which is value over volume, let's focus on areas that we are geographically advantaged from a delivery and transport cost, that last mile stuff in this business like any business and we stayed very disciplined through the whole marketing season. Competitors do what competitors do and they're driven by different things, but our goal was to promote value in the marketplace, which is what we did and I'd like to just hand kudos to the team for delivering 3% price up in the face of -- or on the heels of an 80% winter, which is kind of unprecedented when you think about it. So our team did a good, I think in terms of kind of promoting that value in the marketplace and I would tell you that you can expect that strategy to continue going forward as we try to march above $20 a ton and continue to move that number up over time.
Chris Kapsch: Okay, that's helpful, thanks. And then just one quick follow-up on Fortress and I believe there were some incentive or premium pricing that was applicable, maybe even the government statutes incentivized alternative suppliers when there is like a sole source situation. So curious if that will apply to the fiscal '24 supply agreements when they are more definitive.
Kevin Crutchfield: Yes. Our -- the open solicitation currently is a sole source. So it's our competitor has a has a sole source contract as do we for 2024. So, yes, that continues into 2024, the terms could be a little bit different than they were in '23, but fundamentally, it's the same structure and then ultimately over time, we expect this to move away from that mechanism and move more into a competitive environment with bidding -- regional bidding occurring from year to year.
Chris Kapsch: Okay and then sorry, could you just -- then the follow-up is just on the situation in Canada. I think they were effectively piggybacking off the US approval for this product. Is there, can you just provide any color on how that's progressing as well. Thank you.
Jamie Standen: Yep. The Canadians use the US Forest Service QPL. Our focus in North America for the early days of this business are the US Forest Service contract, CAL FIRE, and then Canada. So yes, we are able to compete up there, but our focus right now is in the US.
Chris Kapsch: Thank you.
Operator: [Operator Instructions] And we will take our next question from Jeff Zekauskas with JPMorgan. Your line is open.
Jeff Zekauskas: Thanks very much. Can you briefly discuss, how management comp changed and our incentive comp changed in 2023 versus 2022 and how it might change in 2024?
Kevin Crutchfield: So, there are a couple of components of incentive compensation, Jeff. One is kind of a cash bonus, annual incentive plan sitting here thinking, but I don't think that changed from one year to the next. It's driven off of cash flow, EBITDA, safety and some shared goals and ESG activities that kind of thing. The long-term incentive plan which is stock-based plan did change. Have we disclosed that yet? No. So you'll read about that coming up here shortly. So, the short-term incentive plan didn't change the long-term incentive plan, plan to stock-based plan is changed modestly from one year to the next. And you'll read about that in the upcoming proxy.
Jeff Zekauskas: Okay. You talked about looking for a partner in your lithium project. So if it turned out that regulatory developments were favorable, would you then begin spending as you did before and look for a partner? Or would you wait for a partner before you spent more? Or if you couldn't -- if you didn't have a partner, would you continue to spend? Can you just clarify the importance and the timing of the selection of a partner if things resume?
Kevin Crutchfield: Well, that's a lot to unpack in there, Jeff. I mean I think the ideal outcome for us is to have a partner at the project level for lithium again to allay some of that capital risk and, you know, as I mentioned earlier to the extent that they have domain expertise, that's a -- that's a nice bonus [Technical Difficulty]
Operator: And ladies and gentlemen, we apologize for the disruption. We are back live with our presenters.
Kevin Crutchfield: Maybe I'll try to pick up where I think I got cut-off and then will officially close the call down. But Jeff, I was answering your question around a partner and I think I've said where I got cut-off was, ideally a partner would have some capital wherewithal balance sheet wherewithal and sure some domain expertise would certainly be a value-add. But in terms of timing, as I mentioned earlier on another question, it's important that we resolve matters in Utah, in a way that is favorable to our project and that's going to be a fine balance between what the legislators are looking forward and what the regulator is -- but what we have to have in terms of regulatory legislative clarity to make such long-term investments. So that's kind of condition number one. Condition number two is, we'd like to finish out the Dustguard unit to demonstrate to the world that is a commercially viable, scalable technology and we have every belief that it will be, but I think that's an important proof point. And I think doing something on a partnership level prior to those criteria having been met, it's going to jeopardize project valuation obviously, it creates uncertainty. So those would be two valuable conditions precedent to getting anything done with a -- with a partner, but you can expect us in the meantime to be continuing to collaborate and work closely with the folks in Utah, that work on these other things in parallel as well. So hopefully that's responsive to your question.
Operator: And there are no further questions at this time, so I will now turn the call-back to Mr. Kevin Crutchfield for closing remarks.
Kevin Crutchfield: Thank you. We apologize sincerely for the call abruptly stopping and everybody having to dial back in, but we thank you for your interest in -- continued interest in Compass Minerals and look forward to keeping you updated as time progresses. So, thank you for dialing in today.
Operator: Ladies and gentlemen, this concludes today's call and we thank you for your participation. You may now disconnect.